Operator: Ladies and gentlemen thank you for standing by. Welcome to Gilat's Third Quarter 2020 Results Conference Call. All participants are at present in listen-only mode. Following the managements formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder this conference is being recorded, November 10th, 2020. If you have not received it please contact Gilat's Investor Relations team at GK Investor & Public Relations at 1-646-688-3559 or view it in the News section of the company's website www.gilat.com. I would now like to hand over the call to Mr. Ehud Helft of GK Investor Relations. Mr. Helft, would you like to begin please?
Ehud Helft: Yes. Good morning and good afternoon everyone. Thank you for joining us today for Gilat's third quarter 2020 conference call and webcast. Recording of this call will be available beginning at approximately noon Eastern Time today November 10 and we will be available for a telephone replay until November 30th at noon. The webcast will be archived on Gilat's website for a period of 30 days. Also please note that investors are urged to read the forward-looking statements in Gilat's earnings release with a reminder that the statements made on this earnings call are not historical facts and may deem forward-looking statements with the meaning of the Private Securities Litigation Form Act of 1995. All such forward-looking statements including statements regarding future financial operating results involve risks, uncertainties, and contingencies many of which are beyond the control of Gilat and which may cause actual results to differ materially from anticipated results. Gilat is under no obligation to update or alter these forward-looking statements whether as a result of new information, future events, or otherwise on the company's expressly disclaimers any obligation to do so. More detailed information about the risk factors can be found in Gilat's reported filed with the Securities and Exchange Commission. With that let me turn to introductions. On the call today are Mr. Adi Sfadia, Gilat's Interim CEO; and Mrs. Bosmat Halpern, Gilat's Interim CFO. I would now like to turn over the call to Adi Sfadia. We are ready to begin.
Adi Sfadia: Thank you, Ehud and good day everyone. I would like to thank you for joining us today as we resume our quarterly update which we are not able to hold over the past year due to the pending acquisition agreement with Comtech. Last month on October 5th, we reported that the merger agreement with Comtech signed on January 29th, 2020 was terminated and a settlement was reached on all pending litigation for a payment of $70 million to Gilat by Comtech. We recently announced our plan to share a $55 million dividend with our shareholders, derived mainly from this termination fee. A cash dividend of $20 million was declared and will be paid on December 2nd, 2020 and an additional $35 million will be declared subject to court approval. Moving ahead, we are continuing its full force to implement our strategy which we believe will generate long-term value to our shareholders. I would like to briefly summarize that strategy for those of you are new to our story and to remind those of you that have not met us for a while. Gilat is a leading global provider of satellite-based broadband communications. We have over 30 years of experience designing and manufacturing cutting-edge ground segment equipment and provide comprehensive solutions and end-to-end services powered by our innovative technology. Our main growth engines of cellular backhaul over satellite, in-flight connectivity or IFC, and the ground segment for non-geostationary orbit satellites or NGSO and very high throughput satellite or VHTS for short. Cellular backhaul is part of our Fixed Network segment. Our customers include Tier 1 Mobile Network Operators or MNOs usually requiring satellite backhauling to extend their networks to rural areas and other remote locations such as island, highways, and parks where terrestrial coverage is prohibitively expensive to lay out. In addition we are increasingly seeing the need for cellular backhaul over satellite for emergency response and as a backup to terrestrial line. This quarter we won several important and strategic managed service deals in cellular backhaul which we believe will continue to be a strong profitable growth engine for the foreseeable future. In addition our Fixed Network segment includes our broadband solutions for enterprise and consumers including our services in Peru. Now, turning to IFC, which is part of our Mobility Solutions segment. Our largest customer in this segment are Gogo, one of the largest IFC service providers in the world and Honeywell, one of the largest global system integrators. Though COVID-19 has a devastating impact on travel and aviation in general, IFC is expected to grow in importance as the industry recovers and passengers require high-speed Internet connections. The Mobility Solutions segment includes also, our on-the-move products and solutions for defense, maritime and trains. In addition, the Mobility Solutions segment includes our U.S. subsidiary, Wavestream, which design and manufactures high-speed, high-power, solid-state power amplifiers for ground, sea and airborne satellite communication systems. Wavestream focuses on providing solutions for IFC, defense applications and NGSO gateways. Another important focus is the NGSO and the VHTS solutions, our major win last year to provide the ground segment for the SES O3b mPOWER Satellite Constellation has put us at the forefront of the baseband providers for NGSO. And additional business for Gilat is providing terrestrial telecommunication infrastructure projects in Peru for Pronatel, a government-owned company, as well as operating parts of the network and selling additional services in support of the Peruvian population. The construction phase of this network is reported under our terrestrial infrastructure projects segment, while the operational phase and the additional services provided on top of the networks are reported under our Fixed Network segment. Our target in Peru is to reach a run rate of $50 million in higher recurring revenues, which we believe, can be reached by the end of 2022. As of today, we have in our backlog a run rate of nearly -- service revenues in Peru of more than $30 million. There is no question that the COVID-19 pandemic has and continues to affect our 2020 results. This is primarily in the Mobility segment, which is dominated by the IFC market. Having said that, during the third quarter, we began to see recovery in most of our other business areas. This is demonstrated by a solid increase in our backlog. Thanks to our cost-cutting initiatives, we were able to show a slight improvement in our adjusted EBITDA. In the current quarter, adjusted EBITDA stood at about $600,000 compared with the previous quarter's adjusted EBITDA of about $100,000. In the fourth quarter, I expect that we will show an improvement, both in the revenue level and profitability compared with this quarter. Summarizing our financial performance in the third quarter, revenue totaled $37.3 million, GAAP operating loss totaled $10.9 million and adjusted EBITDA was about $600,000. Bosmat will elaborate on our financial performance in a few minutes. I will now move onto review our third quarter business achievements. I will start with the mobility segment and our IFC business. Even though, the COVID-19 pandemic has impacted the global aviation market, Gilat has not changed its overall mobility strategy. We expect that upon industry recovery, IFC will be even more important as passengers who throughout the pandemic came to rely heavily on always connected experience, will continue to demand reliable high-speed Internet connections. In addition, we believe that the introduction of widespread free WiFi will significantly increase take-up rates and will provide a strong tailwind to the industry and to Gilat. We are working closely with our customers and partners to enable them to meet the expected increase in bandwidth requirements and passenger's connectivity demands. In China, we announced this summer an important milestone as a driver of opening up the Chinese Ka-band for in-flight entertainment and connectivity market for a multimillion-dollar market opportunity. The announcement was made with our partner China Satcom and FTS, a leading Chinese system integrator, who received the STC certification for in-flight entertainment and connectivity earlier this year. Gilat has already received initial orders out of the multimillion-dollar potential for its flagship, aero modem. The non-geostationary orbit satellite constellation and the very high throughput satellite continued to be a major strategic focus area for Gilat. We are on track with the platform development for the mPOWER MEO constellation. We are working closely with SES on additional program needs. Recently, we expanded the O3b mPOWER partnership with SES, under a multimillion-dollar follow-on order for high-speed modems. The modems will deliver multi-gigabit throughput targeting high end services over the constellations. Furthermore, we believe that we are well-positioned to win additional NGSO business as the opportunities mature. Gilat's only owned U.S. subsidiary Wavestream is a trusted supplier to the U.S. Department of Defense providing high-quality military communication products. In the third quarter, Wavestream received further multimillion-dollar orders from the U.S. Department of Defense demonstrating their continued phase in Wavestream's ability to execute at a high level and support their needs for years to come. In cellular backhauls one of our strategic growth engines we are continuing to excel and have maintained our global market leadership. According to a 2020 report by market analyst NSR, Gilat leads with 44% market share in modem shipments. This superiority is further with impressive 5G technical achievements. As a matter of fact, this quarter we successfully demonstrated 5G traffic carrying with outstanding performance of the Thaicom GEO's HTS satellite. Superior user experience was recorded using Gilat Capricorn PLUS VSAT. With this successful test, we have declared Gilat's cellular backhaul solution operational and ready for implementation in the 5G architecture. Gilat's strategy of providing the cellular backhaul over satellite solution as a managed service has proven successful in this beneficial for both the MNOs and Gilat. MNOs are free to focus on their core competencies, while leaving the complexity of the satellite communication to the satellite expert. Gilat on the other hand, provides an end-to-end service enjoying a larger contract with recurring revenue. I am pleased to report that this quarter Gilat won several multimillion-dollar managed service deals, which included new MNOs as well as substantial contract renewals extensions and expansions. In North America, we had two major achievements this quarter. Gilat was awarded $20 million for a three-year managed service contract renewal and expansion from Tier 1 MNOs in the United States. With this Gilat becomes the MNOs sole vendor to provide end-to-end services for LTE backhauling and disaster recovery, while replacing existing satellite technologies. This contract is a testament to the MNO's appreciation of Gilat's proven service and technological capabilities. In addition, we were awarded a three-year managed service contract by Southern Linc for coverage to remote areas as well as emergency response. On top of securing a new MNO in the United States [Audio Gap]. This achievement further validate Gilat proven technology's superiority and testify to our industry leadership in cellular backhaul. I would like to share that we extended another cellular backhaul managed service contract with the leading MNO in Mexico and have a healthy pipeline of additional such deals worldwide and I hope to announce additional success in the near future. We also closed several important cellular backhaul equipment deals among others one with AMN -- Africa Mobile Networks which extended Gilat's contract for Africa largest cellular backhaul network over satellite and another contract with Kcell, Kazakhstan's largest mobile network operator. In the area of broadband connectivity, we continue this quarter to strengthen our presence in Latin America with important wins in Peru and Argentina. In Argentina, we were selected by Telefónica International Wholesale Services a subsidiary of Telefónica Group to deliver broadband services to rural areas. In Peru, we were awarded a three-year service deals for a nationwide enterprise. Both of these projects were particularly challenging due to the pandemic and Gilat's local team and partner excelled in timely deployment in difficult rural terrains. As we have reported in the past our business in Peru in the first three regions awarded in early 2015 moving to operational phase and are now delivering services to 0.5 million people. Also we are in an acceptance process regarding the fourth region that was awarded in late 2015. We expect to finish the acceptance no later than the end of Q1 2021, which will allow us to enter the operational phase and enable us to start recognizing the related recurring service revenues. We are progressing with the additional two regions which we are awarded in 2018 slightly slower-than-expected due to the pandemic reflection in Peru. This quarter Gilat was awarded a substantial five-year expansion contract by IPT, a consortium consisting of Telefónica and Facebook among others. In a festive signing event Mrs. Nakagawa, Vice Minister of Communications said and I quote “the expansion of these services will benefit around 0.5 million people”, Gilat accepted the challenge to work on a regional project in an extremely difficult area and we should praise its impeccable work. This milestone proves that the investment in private entities generating the expected value for the citizen, especially during the current worldwide pandemic where we need the Internet access to stay connected. We believe that further to this expansion, which includes hundreds of additional sites, there is still significant potential to increase and expand to additional regions as well as to extend the deal over time. This deal demonstrates our ability to execute our vision of profitable recurring revenues in Peru. In closing, I'm pleased to share with you that even though the industry continues to deal with the COVID-19 pandemic, we had some very significant achievement this quarter, which will support our long-term growth. As we move into Q4, we are beginning to see the light at the end of the tunnel and are cautiously optimistic. However, we are watching the pandemic closely as a second wave hits many parts of the world. We like others have learned to conduct business with the pandemic and I'm pleased with our accomplishment and with a healthy pipeline of significant and large opportunities. On a personal note, I'm optimistic about the great future for Gilat. I'm fully committed supported by my dedicated management team and talented employees to bring Gilat back to growth and profitability and to surpass our success before the pandemic. Bosmat, we are ready for your report. Please go ahead.
Bosmat Halpern: Thank you, Adi and good morning, and good afternoon to everyone. I would like to remind everyone that our financial results are presented both on a GAAP and non-GAAP basis. We regularly use supplemental non-GAAP financial measures internally to understand, manage and evaluate our business and to make operating decisions. We believe these non-GAAP financial measures provide consistent and comparable measures to help investors understand our current and future operating performance. Non-GAAP financial measures mainly exclude the effect of stock-based compensation, amortization of purchased intangibles, amortization of lease incentive, litigation expenses or income related to trade secrets claim, reorganization costs, merger, acquisition and related litigation expenses and initial recognition of deferred tax assets with respect to carryforward losses. The reconciliation table in our press release highlights this data and our non-GAAP information presented exclude these items. I will now move to our financial highlights for the third quarter of 2020. Revenues for the third quarter of 2020 were $37.3 million compared to $63.4 million in the third quarter of 2019. This mainly reflects the impact of COVID-19 on revenue from our – from IFC in our Mobility Solutions segment. However, compared to previous quarter of 2020, revenues were similar at $38.3 million, declining by only around $1 million. Fixed network segment's revenue were $22.8 million compared to $27.3 million in the same quarter last year. The decrease is mainly due to lower revenue from our EMEA region. We saw a slight improvement compared with the prior quarter, where fixed network's revenues were $21.8 million. Mobility Solutions segment revenues were $9.2 million compared to $27.1 million in the same quarter last year and $14 million in the previous quarter. The decrease reflects the effect of COVID-19 on the IFC market. Terrestrial infrastructure projects segment revenues, which include the construction revenues for our projects for Pronatel in Peru were $5.3 million compared to $9 million in the same quarter last year and $2.5 million in the previous quarter. As we have discussed previously, during the construction phase Pronatel will vary quarter-to-quarter depending on the percentage of the project's completion. Our progress in the last two quarters has been slightly slower-than-expected, due to the pandemic restrictions in Peru. Our GAAP gross margin in the third quarter of 2020 was 25% of revenues, compared to 37% in the same quarter last year. The decrease in our gross margin is mainly attributable to a less favorable revenue mix as well as the lower revenue level. Our gross margin in the previous quarter was 25%. Total operating expenses on a GAAP basis for the third quarter were $20.3 million, compared to $16.3 million, in the same quarter of last year and $13 million in the previous quarter. In the current quarter, we had expenses related to the Comtech merger and litigation amounting to $8.2 million. GAAP operating loss was $10.9 million, compared to operating profit of $7 million in the same quarter last year and operating loss of $3.5 million in the previous quarter. Excluding expenses related to the Comtech merger litigation, GAAP operating loss in the quarter was $2.7 million. GAAP net loss in the third quarter was $11.6 million or $0.21 per share, compared with net income of $6.3 million or $0.11 per diluted share in the same quarter last year. Net loss for the previous quarter was $4.2 million or $0.08 per share. Now looking at our results on a non-GAAP basis, operating loss was $1.9 million, compared with an operating income in the same quarter last year of $7.5 million. We saw an improvement, compared with the previous quarter's operating loss of $2.6 million. I would like to note, that we have put significant efforts, in matching our ongoing operating expenses with reduced revenue, and our operating expenses were $11.4 million reduced from $15.8 million, in the third quarter of last year and $12.2 million in the previous quarter. Net loss in the third quarter was $2.6 million or $0.05 per share. In the same quarter last year, we reported net income of $6.8 million or $0.16 per diluted share. We improved versus the previous quarter, in which we reported a net loss of $3.3 million or $0.06 per share. Adjusted EBITDA for the third quarter of 2020 was $600,000 million, compared with $10.1 million in the third quarter of last year. We saw an improvement, compared with the previous quarter in which adjusted EBITDA was $100,000. As of September 30th 2020, our total cash and cash equivalents including restricted cash were $77.2 million, a decrease of $8.1 million from the previous quarter. I note that, we received an additional $70 million in cash, a termination fee for the Comtech merger cancellation, during October 2020. We recently announced our plans to distribute dividends to our shareholders in a total amount of $55 million, out of which $20 million was declared, and will be paid on December 2 2020. And additional $35 million is expected to be declared, subject to court approval, at the beginning of 2021. This sale which includes our Fixed Networks and Mobility Solutions segments and exclude receivables and revenues of our Terrestrial Infrastructure Projects Segment, increased to 84 days, compared to 79 days in the previous quarter. Our shareholders' equity at the end of the quarter totaled $225.3 million, compared with $236.9 million at the end of the previous quarter. That concludes our review. Thank you for your attention. I would like now to open the call for questions. Operator, please?
Operator: Thank you. [Operator Instructions] The first question is from Gunther Karger from Discovery Group. Please go ahead.
Gunther Karger: Yes, thank you. First, thank you for an outstanding report given the pandemic circumstances. Secondly, a question, with regard to Gogo and its ongoing sale of its commercial division to Intelsat that's where they're selling the Ka/Ku equipment to. What is the impact if any on Gilat for that? For example with the sale to Intelsat, I could expect there may be some expansion of service. So I would welcome any comment on that?
Adi Sfadia: Yes. Indeed, we are seeing several consolidations in the market. And Gogo acquisition -- Gogo CA acquisition by Intelsat is one of them. We are working closely with Gogo and closely with Intelsat. And we think that the combination of the two carries a significant potential for Gilat. First of all, we consider both of them as partners and we believe that there is a room for extending the cooperation of Gilat with those two companies. I guess, that one of the reasons that Intelsat acquired Gogo is that Gogo will use their Ku capacity. And that means more deployments for Gilat hubs and later on modems. So in general, we see it as a positive development for Gilat.
Gunther Karger: Thank you. A follow-up question if I may. The -- on the military side defense just recently appointed a head of -- the rejuvenated department of Gilat to deal with for that sort of business. Could you offer any comment as to what areas or what effort is ongoing at this time with that area of business?
Adi Sfadia: That's a good question. As you know in the past few years, the defense business was relatively small business for Gilat mainly tactical equipment, UAVs, antennas and amplifiers that we develop and manufacture in Wavestream. What we see today is that we see increase in the opportunities in the market. And we thought it's the time is right to strengthen our team and we hired a new head of defense business to make sure that we can capture those opportunities. So it's too early to say because it's just starting the work as we speak. But we believe that with them, we will be able to capture much more opportunities that we used to capture in the past.
Gunther Karger: Thank you very much and good luck.
Adi Sfadia: Thank you, Gunther.
Operator: The next question is from Yuval Shine [ph] of Hebrew University. Please go ahead.
Unidentified Analyst: Hello. With growing competition, can you say something about what is your competitive advantage? And what is your goal towards the Chinese market and the old eastern markets? And whether you need a substantial amount of free cash for future growth?
Adi Sfadia: So in one question you capture 30 minutes answer, but I'll try to be short. First of all, our competitive advantage is we believe that our technology and our presence worldwide. We have a presence in a lot of countries worldwide. We invest heavily in R&D. And our ability to provide not only equipment, but also services including managed service position us very well in the growth areas that we invest in. As for the cash that we need for future expansion, we have, I think after we include $70 million payments from Comtech and $55 million dividend. I think we have about $85 million to $90 million in cash and equivalents. So it's sufficient money to support our future growth, may it be organic or inorganic growth. Can you repeat the third question that you had?
Unidentified Analyst: The Chinese market -- I asked it for the competition aspect about the Chinese market and the growing companies that deal with these kind of technologies.
Adi Sfadia: So, the Chinese market is not a simple market. We are working several years in China we delivered baseband for ChinaSat-16, and we recently announced our achievement with ChinaSat and FTS of deploying our aero modem, and I think it's the first commercial modems that fly in China using ChinaSat-16 Ka-band. It helps that we are Israeli company in China. Not that the Chinese are not doing business with the U.S. but sometimes it's helped to be a non U.S. company. There are several large opportunities in the coming future. ChinaSat is going to launch several new satellites and we think that we are well positioned to win them, and we are expecting the RFP to be issued probably at the second half of 2021. I think today the most important activity that we are doing is mainly concentrate on the in-flight entertainment and connectivity opportunities in China.
Unidentified Analyst: Thank you very much.
Operator: The next question is from Asaf Barel of Oppenheimer. Please go ahead.
Asaf Barel: Hey, guys. First of all welcome back that I hear from you again on the conference call. If we could start off, I'll ask a few questions on each of the operating segments just to kind of keep it clean. So for Fixed Networks, we're seeing that revenues are stabilizing and even recovering from 2Q 2020 levels, which is pretty encouraging. To what extent is that stabilization or maybe initial signs of recovery attributable to -- I attribute this give or take, yes, I don't actually need a dollar sign at everything. But number one, traditional satellite equipment that you guys sell? Number two, the satellite -- the cellular backhaul business? And then, number three, the Fitel services revenues, because when we do the comps on a year-over-year basis, we should see even an incremental gain from Fitel. So kind of break it down for us, where the positive trajectory is coming from since 2Q and then some of the other moving parts?
Adi Sfadia: So, while Bosmat is gathering the information you asked, I'll give a high level brisk. What we saw in the market this quarter is a very decent recovery in the Fixed Networks, especially in terms of booking and there is a timing issue between booking and revenues. Usually, it's between three to six months. Sometimes we deliver the day after, but in most of the cases if you buy hubs and other equipment it takes time to manufacture ship and install and get the acceptance. So, I believe that the achievements we have made and announced this quarter, especially in cellular backhaul, which was close to 40% or 50% of our bookings this quarter. We will see in the coming few quarters, especially since it's managed service and you will see it over a three- year period. In Peru, we are progressing as planned with the services for Pronatel. And in addition, as I said in my script, we were awarded extension -- significant extension or expansion of the IPT agreement, which is a contract of tens of millions of dollars for a period of five years, providing the connectivity for IPT which will use it for 4G backhauling. And this is just the beginning of those services, because right now we can serve them only in three regions. Soon we’ll be able to provide this also in Cusco the fourth region. We expect to move to operational phase early next year. And in Ica and Amazonas, the fifth and the sixth region that we were awarded in 2018, probably only in 2022. So the potential over there is very high. And the additional cost from those revenues are relatively low, because we are selling the existing capacity of the networks. In addition, there are several other large opportunities in Peru that we hope to capture in 2021. One of them is -- get the award from Pronatel of services of the second half of the network that right now we are not obliged to maintain.
Bosmat Halpern: If you look at the fixed segment, in general, and this changes quarter-over-quarter in Gilat. It's important to note that quarter-over-quarter, the revenue mix changes a lot due to different large deals. But, in general, the cellular backhaul is around 30% of the revenues there. The Peru services revenue, right now, are around 20% to 25%. And we expect them to rise as we enter into the operational phase of the different regions. And the broadband which is the rest is around 45% of those revenues.
Asaf Barel: Okay. That's actually extremely helpful. Yes, the Peru revenues actually sound even -- when I did the math in my head here, even a little bit better than what we had modeled pre-COVID, right? Your weren't expecting to get maybe 25% of the Fixed Networks revenues, right? Is this going better than you had expected in terms of services coming online?
Adi Sfadia: You're talking about the Terrestrial?
Bosmat Halpern: No. I think, it's as expected, except I think that the IPT deal is very, very -- a good beneficial deal that is maybe higher-than-expected. But except for that, when looking at the Peru regional projects, it's not better than expected. I think it's more or less in line or even maybe a bit slower because of the COVID-19.
Adi Sfadia: I will remind you that, in Peru, the restriction are still valid for almost seven or eight months. Peru is significantly affected by the COVID and there is still some areas that are completely closed. And it's -- we as a telecom company, has the ability to move from region to region and install and provide service, but it's not as easy as it should be.
Asaf Barel: Yes. What I was referring to is just, not on the construction business, right? I'm just talking about the services revenues.
Adi Sfadia: Yes.
Asaf Barel: That 20% to 25% was services revenues, right? Just to be clear?
Bosmat Halpern: Yes, out of the fixed, right. 
Asaf Barel: Yes. Yes, yes. Of course. Okay. Okay, cool. So that color is very helpful. Many other satellite players, legacy satellite players have come under financial pressure. This has been a long-term trend, long-term negative trend. But COVID-19 really worsened the situation for the more leveraged companies. We've had one major company actually declared bankruptcy. What kind of impact are you guys seeing? Are you seeing a shrink in CapEx? How should we expect this to play out moving forward? Are there even maybe potentially opportunities here? Any color?
Adi Sfadia: So, indeed, service providers, especially the big ones and the satellite operators are highly leveraged companies.
Asaf Barel: Yes.
Adi Sfadia: We saw at the beginning of the year Chapter 11 trend when Speedcast and Global Eagle and the Intelsat and others went into the Chapter 11. Most of them are on their way out. I know that Speedcast received or on its -- going to receive equity injection from their creditors and the Global Eagle moved to be on by the lien -- the first lien creditors, Intelsat received court approval to invest $400 million from the creditors in order to acquire Gogo CA. So I think all of them will move out. I think that, no doubt, there was effect especially with Speedcast, where we are doing a lot of business with them in Australia. But right now, NBN acquired Speedcast Australia and we saw – we are going to do the business directly with them. So we believe that there is no business that was lost. Some delayed and we'll see the orders are coming probably, if not this quarter then early 2021.
Asaf Barel: So that's kind of on the same question because it's also going to apply to the NGSO business and moving forward. You guys compete to a certain extent with the additional satellite players on equipment, right? So are you seeing maybe any of that competition? Is there any kind of impact that we maybe seeing factor understanding in certain products?
Adi Sfadia: I'm not sure, I fully understand your question. In some cases, with satellite operator we compete on equipment. The only satellite operators who own their own equipment it's only ViaSat, who usually doesn't sell their equipment as standalone. So it's not really a competition. It's mainly competition for our customers. And the used network and with them we do compete here and there and nothing besides that. We do compete with some of the – with some of our customers on services. But our services today is strictly to MNOs and we try to limit the managed service that we are providing to MNOs. And when needed we buy the capacity from the satellite operator. So we have customer vendor relationship. So I think that we are managing the relationship well.
Asaf Barel: Okay. Great. Yeah. How is this financial situation in Peru? You can see on the balance sheet the way receivables look in terms of the GAAP accounting. But if you guys feel comfortable with the situation in Peru with the government, I mean, we haven't taken a close look at the fiscal situation but any color there would be helpful?
Adi Sfadia: Yes. The relationship of Gilat and the government are very good. We are doing projects with the government in the last 20 years. I think we had more than 15 projects already. They are paying on time and in dollars. So we don't have the exchange rate risk. In most of the cases, they are paying in advance. Today in some of the regions, we are in a situation that we are – in order to achieve a milestone we are more progressed than we should based on the contract. And in those kind of cases sometimes we need to finance it on our own. We expect a very large payment from the government once they accept Cusco. It's close to $20 million into payments depending on what the type of the network they accept. There are delays in accepting the networks, mainly because of the COVID. They can't send people to test and accept relevant sites. Today, we are in progress with them. And we believe that by the end of Q1 we'll be able to get the two acceptance both for the transport and for the access network. So we are aiming to get payment, if not by the end of this quarter Q4 then by Q1 2021.
Asaf Barel: Okay. Great. That's very helpful. Okay. I think it's enough on Fixed Networks. On the Mobility business, I know that visibility is still low here. But number one obviously the revenues came down from $14 million to $9 million this quarter. To what extent, is that the bottom? So that's number one. And then number two, you had mentioned that you expect obviously the business to return to a certain level. We were talking about maybe 2K 2,000 airplanes being fitted whether it be retrofitted or fresh new airplanes being equipped with in-flight connectivity. How quickly do you think we come back here, even if the airlines do go back to normal business maybe late 2021 who knows when? How -- what's kind of the turnaround time between when business starts to normalize in terms of air traffic? And then, when we start to see a pickup in demand for modems?
Adi Sfadia: That's a good question. We are not going to give guidance for Q4 revenues. I think it's -- the revenue in Q3 was lower, mainly because at the beginning of the year, we delivered the order that we had in the backlog. Right now most of the service providers and the integrators are not buying equipment until they will see that the aviation markets return. The question when it will return. I don't think anyone knows the answer. I think everyone thinks that the earliest will be probably mid next year something that maybe 2022 or even later, it depends what is the aspiration of each one that you talked to. We think that once the aviation will return, we believe that in the same quarter or the quarter after all the service providers will return to buy equipment and install it and increase their network deployment. We believe that the adoption of the wide adoption of free WiFi will -- is a significant opportunity for Gilat and the market there is a lot of potential over there. And from my discussions with analysts and CEO of those service providers, they say that they can't predict when they -- everything will return to normal. But they believe that within three to five years' time, they will manage five to 10 times the capacity they used to manage before the pandemic. This alone is enormous opportunity for Gilat in equipment and services.
Asaf Barel: Okay. I guess last question, if I could. We had spoken in the past, if you could just remind me in case I missed the press release or whatever on the situation of the antennas. We have spoken about you guys signing business aviation deal. Obviously, we can put that on ice. So I don't know whether I know where that stands. But in general kind of the future of commercial antenna?
Adi Sfadia: Yes. So we have an antenna for business aviation, but the project was canceled I think a year ago when we announced it. We announced several development with our ESA antenna in the past few months. We are progressing, but I must be honest very slowly because the fact that service providers and the airlines are unwilling to invest right now. That means that the opportunity will take significantly more time than originally expected. So it will take time. It's not something for tomorrow morning. And even once they will decide to invest its cycle of several years until you fit the antenna to their needs, get all the certifications. So it's not an opportunity for the near future. 
Asaf Barel: Okay. So with that first of all tank you very much for the very clear broad kind of your answers. Best of luck. I look forward talking to you guys tomorrow.
Adi Sfadia: Thank you very much.
Operator: The next question is from Jarib Steiner [ph]. Please go ahead. 
Unidentified Analyst: Hi, Adi. I wanted to ask you regarding your cash balance. So you have a lot of cash on hand and your stock price is very undervalued. So are you thinking of making a buyback plan?
Adi Sfadia: So one-by-one, I would say, we just announced that we want to share a $55 million dividend, $20 million was declared and going to be paid in three weeks' time, another $35 million will be declared once we get approval from court to capital reduction because we don't have significant distributable profit because the termination fee profit will be recorded in Q4 and we wanted to share the dividend as soon as possible and not to wait to -- after we report our yearly results towards the end of Q1. So $55 million is already there. We remain with $85 million. And in the future, if we will think it's appropriate we will discuss it in the Board. And then if we decide that we go with it, we will announce. Right now it's not on the table. 
Unidentified Analyst: Okay. And when should we expect return to profitability? Is it next year? Like can you give some time lines about it? 
Adi Sfadia: So it's a bit too early to give guidance for 2021. Although, I can say that we are definitely going to see growth on top line and on bottom line. We show minimal adjusted EBITDA this quarter. We will show quarter-over-quarter progress in Q4 and later on in Q1. 2021 will be profitable. Again we are cautiously optimistic because we see that the world is starting to digest the situation and do business although there is COVID and although we can't travel and meet face-to-face with customers. We can't do installation on our own and we're doing it remotely in most of the cases. So we see that acceptance is there to do business. Profitability -- significant profitability we will see once we'll see the topline return to the levels we used to see before the pandemic and the IFC will return. I think that 2021 will be a significantly better year than 2020 and will show a decent double-digit EBITDA but it's too early to say more than that. 
Unidentified Analyst: Okay. Thank you and good luck.
Adi Sfadia: Thank you very much.
Operator: The next question is a follow-up question from Gunther Karger of Discovery Group. Please go ahead. 
Gunther Karger: Yes. Thank you for taking the additional question. With the MNOs gravitating rapidly toward the 5G network systems. The emerging IoT Internet of Things is coming into play as well. So my question is as the IoT accelerates and starts generating bandwidth demand in addition to the standard network operators will this have any positive influence on Gilat's business? 
Adi Sfadia: So I'll start with the 5G. No doubt 5G will be a significant growth engine in the future. But I need to be honest 5G's material revenues, I will say it will take two to three years to see it in the P&L. From the simple fact that you first start with the cities where you have a terrestrial connection and later on you deploy in rural areas. What we will see in the interim period is that 5G will drag a lot of 4G deployments. Because a lot of MNOs will going to deploy 5G will be required in several cases by their license to deploy 4G in the rural areas. And the fastest way and the easiest and the cheapest way to do it is with Gilat equipment.  And as I said based on the analyst report NSR, we have about 44% market share in the cellular backhaul. But if you look at the details and just look at the 4G, I think we have more than 80% of the market share. So I think we are well positioned to capture a lot of the 4G business in the coming few years up until 5G will be ready for satellite cellular backhaul.  We recently announced our achievement with Thaicom, which we demonstrate together with them. As for IoT, IoT most of the applications for IoT is narrow band and not broadband and we are looking at this area also. I can say that today we are investing a lot in IoT. We do have some business in IoT, especially in aggregation places like backhauling for IoT devices and we will see more of this in the coming future. 
Gunther Karger: Thank you, Adi.
Adi Sfadia: Thank you, Gunther.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Bosmat Halpern to go ahead with her concluding statement, I would like to remind participants that a replay of this call is scheduled to begin two hours after the conference. In the U.S. please call one 1-888-326-9310. In Israel, please call 0392-55904. Internationally, please call 9723-925-5904.  Bosmat, would you like to make your concluding statement. 
Bosmat Halpern: I want to thank you all for joining us on this call and for your time and attention. We hope to see you soon or speak to you in our next call. Anyone who would like to speak to us is invited to contact our Investor Relations team. Thank you very much and have a great day. 
Operator: Thank you. This concludes Gilat's Third Quarter 2020 Results Conference Call. Thank you for your participation. You may go ahead and disconnect.